Operator: Good morning and welcome everyone to the Buenaventura’s First Quarter 2016 Conference Call. All lines have been placed on mute to prevent any background noise. After the presentation, we will conduct a question-and-answer session. The instructions on how to ask a question will be given at that time. Thank you for your attention. I would now like to turn the call over to Mr. Rafael Borja of IAdvize Corporate Communications. Sir, you may begin.
Rafael Borja: Thank you, and good morning, everyone. Welcome to Compania de Minas Buenaventura's first quarter 2016 earnings conference call. Please be advised that today's call is for investors and analysts only. Therefore, questions from the media will not be taken. I would like to introduce our speakers and joining us from Lima, Peru are Mr. Roque Benavides, Chairman and Chief Executive Officer; Mr. Carlos Galvez, Chief Financial Officer, and members of the company's management team. They will be discussing the results per the press release issued yesterday. If you did not receive a copy, please contact IAdvize in New York at 212-406-3693. Before we begin, I would like to remind you that during this call comments made by the management may include forward-looking statements, which are subject to various conditions and uncertainties based on a variety of factors. These forward looking statements may differ materially from actual results that we ask that you refer to the disclaimer located in the earnings release prior to making any investment decision. And now it is my pleasure to turn the call over to Mr. Roque Benavides, Chairman and Chief Executive Officer of Buenaventura for his presentation. Mr. Benavides, please go ahead.
Roque Benavides: Thank you, and welcome to Buenaventura first quarter conference call and delivering our results. In this first quarter 2016, our EBITDA from our direct operations was $60 million, a 34% increase compared to $45 million reported in the first quarter 2015. Adjusted EBITDA increased 21%. All in sustaining cost decreased 35% in the first quarter of 2016. This significant decline reaffirms the cost reduction efforts in Buenaventura’s direct operations. Total attributable production in the first quarter 2016 was 158,000 gold ounces and 6 million ounces of silver, compared to 187,000 ounces and 5.5 million ounces of silver in the first quarter 2015. The Tambomayo project is in line with budget and the detail engineering was completed. Civil works’ progress is at 52% with full completion expected in the second quarter of 2016. Exploration and development works are at 86% done. Production ramping up is expected by the fourth quarter of 2016. The Environmental Impact study of the San Gabriel project is expected to be approved also in the fourth quarter of 2016. Yanacocha distributed dividends of $300 million in March 2016 and equity share was $131 million Buenaventura’s. At Cerro Verde, the concentrator number 2 achieved full capacity in the first quarter 2016. In March, the mill rate performance of 100% including the two concentrators was in excess of 370,000 tons per day throughput, a really great achievement in the case of Cerro Verde. And Buenaventura is in the process of raising $275 million long-term debt, in order to re-profile its current short-term debt. The proceeds are expected to be available in the second quarter of 2016. Terms and conditions of the loan will be for an investment grade company. In the first quarter of 2016 Buenaventura’s gold equity production from direct operations remained stable, in line with the figures reported in the first quarter of 2015. Gold production, including associated companies in the first quarter of this year was 157,955 ounces, 16% lower than the figure reported in the same period of 2015, explained by a decrease in production from Yanacocha. Silver equity production from direct operations increased 11%, mainly due to higher production at the Uchucchacua mine and the Mallay mine. Orcopampa gold production decreased 12% in the first quarter 2016 compared to the same quarter of 2015 due to lower grades. Cost applicable to sales in the first quarter decreased 8%. This was mainly explained by lower labor costs, lower contractor costs, a decrease in reagents’ consumption and price. Gold production guidance for this year is between 200,000 and 210,000 ounces of gold. At La Zanja, I have to mention that we have received prizes for the safety at La Zanja and Tantahuatay for not having had any accident in the full year 2015. I think this is an achievement, very important far more than the financial figures, very important to declare of our best assets which are our people. In La Zanja and Tantahuatay we have made excellence in terms of our safety standards. At La Zanja gold production in the first quarter increased 12% compared to first quarter of 2015 due to higher ore leached. Cost applicable to sales in the first quarter 2016 decreased 23% explained by lower labor and reagent costs. Gold production guidance for this year 130,000 to 140,000 ounces. In Tantahuatay, gold production in the first quarter increased 14% compared to the same quarter of 2015 due to higher ore grades. Cost applicable to sales in this quarter decreased 34% due to lower contractor and reagent costs. Gold production guidance for the full year 140,000 to 150,000 ounces of gold. At El Brocal, where we control in excess of 56%, during the first quarter copper production increased 193% compared to the same quarter 2015, mainly due to higher ore treated. Moreover, in the first quarter of 2016 zinc production decreased 29%, due to lower ore treated and lower zinc grade. We have concentrated more on the copper ores than the lead, zinc, silver ores. In the first quarter 2016, zinc’s cost applicable to sales remained in line with the figure reported during the first quarter of 2015. Additionally, copper cost applicable to sales in the first quarter 2016 decreased 13%, mainly explained by lower contractor costs due to better mining unit prices. Zinc production guidance for 2016 is 60,000 to 70,000 tons of zinc, while copper production guidance for this year is between 35,000 and 45,000 tons. General and administrative expenses in the first quarter 2016 were $21.4 million, an increase of 4% compared to same period of 2015. Exploration in non-operating areas during the first quarter was $3.5 million compared to $10.7 million in the same quarter of 2015. During the period, Buenaventura’s main exploration efforts were focused on the Tambomayo project and Marcapunta, El Brocal. During the first quarter 2016, Buenaventura’s share in associated companies was $28.4 million, compared to the $36.3 million reported in the first quarter of 2015. At Yanacocha during the first quarter 2016, gold production was 180,000 ounces, 27% lower than the first quarter of 2015, due to lower gold grade. Gold production guidance at Yanacocha for full year 2016 is between 630,000 and 660,000 ounces. At Cerro Verde, during the first quarter 2016 copper production was 123,000 metric tons, 154% increase compared to the first quarter of 2015. During the first quarter of 2016, Cerro Verde reported a net income of $96.9 million compared to $40.7 million reported in the first quarter of 2015. This was mainly due to higher volume sold and lower cash cost. At Coimolache, attributable contribution to the net income in the first quarter was $5.7 million compared to $2.1 million reported in the same quarter of 2015. In terms of our project development and operation, the Tambomayo Project, the production ramp up is expected to start in the fourth quarter of 2016. Civil works progress is at 53%, expected to be completed in the second quarter of 2016. Mechanical and structural installation works at 25% progress. The mill equipment is already mounted on their bases and the CapEx of $340 million, exploration and mine development $122 million, civil works and equipment $218 million. At the San Gabriel project, 100% owned by Buenaventura, the project has been rescheduled in order to preserve cash flows. Geomechanical studies were completed in the first quarter of 2016, environmental impact study of the project construction is expected to be approved in the first quarter 2016. Objective for the first semester are to continue the construction of the 450 meters of exploration ramp and drilling program of 7,000 meters in order to confirm resources and certainly. Buenaventura cash and debt situation currently Buenaventura is in the process of raising $275 million long term loan and the proceeds are expected to be available in the second quarter of this year. Proceeds from new debt will be used for the following. Re-profiling Buenaventura’s current short-term debt and partially finance the construction of the Tambomayo Project. And Yanacocha as we mentioned $300 million of which $131 million came to Buenaventura. I just want to thank and congratulate our people of La Zanja and Tantahuatay for having obtained the best standard of safety in Peru for open pit mines. With that we are open to any questions that you may have. Thank you.
Operator: [Operator Instructions] Our first question will come from Ivano Westin with Credit Suisse.
Ivano Westin: First one on costs, you reported sustaining cost declining 35% in quarter one the year-on-year basis. I appreciate if you could comment on what to expect on the trend moving forward and what sort of additional decline we could expect? And on your gold production, on your Orcopampa, you saw a decline of 12% year-on-year, you mentioned that was due to ore rate but you're still guiding like 200,000, 210,000 ounce of production this year. I appreciate if you comment if we should expect production to lower range of this guidance and also if you could provide a gold production for the full year including your associated company as well. Thank you.
Roque Benavides: In terms of the 35% cost reduction, it has been a good quarter in terms of having focused on cost reduction. This is not a trend that we are going to show 35% reduction every quarter, I think the first step has been very positive and we might see some additional cost reductions but certainly have been an important set in reducing cost and we expect to maintain more of it between the level of costs going forward. Orcopampa, the guidance for Orcopampa continues to be the same as we mentioned earlier this year. The quarter has been lower due to some lower rates but we expect to come back and at the end of year being able to show 200,000 to 210,000 ounces of gold production. In terms of the full -
Carlos Galvez: [indiscernible] production guidance for Orcopampa and we are for sure - we are sure that we are going to complete our objectives. [indiscernible] but we could view gold production for [indiscernible] ounces of gold.
Operator: Our next question comes from Karel Luketic with the Bank of America Merrill Lynch.
Karel Luketic: I have a couple of questions on growth. First of the San Gabriel Project, is the Environmental Impact Assessment is fact approved by the fourth quarter. Could you provide a big of light in terms of what the volumes could be of the project and what the potential CapEx would be that's the first question. And second just on the follow-up on Orcopampa. I recall you have mentioned in previous conference call that you're working on potential projects to stretch production in Orcopampa, have you any updates on that it would be great. And the last question if I may on Cerro Verde in terms of cash cost, what can we expect on cash cost versus what we just saw in the first quarter, is there further upsides that we see on that or are we already at a normalized levels. Those are my question, thank you.
Operator: Ladies and gentlemen looks like the speaker line has disconnected, please hold for the line and we'll get the question answered one moment. We have our presenters back on. Karel, could you please repeat your question in case they didn't hear it.
Karel Luketic: Yes, of course. So my questions were on the growth side, I don't know if you guys heard them, if not I can repeat them here.
Roque Benavides: Orcopampa only.
Karel Luketic: Okay, so very briefly here, what I asked was, first on San Gabriel, is the Environmental Impact Assessment is confirmed, what could be the potential volume of the project and CapEx. The second question was on Orcopampa follow-up or [indiscernible] question is you're working on a series of initiatives there to expand mine life and production, do you have any update on Orcopampa. And the last question on Cerro Verde, if costs can still decline from the current level or it's already at a normalized level? Those are the questions. Thank you.
Roque Benavides: Thank you for clarifying. At San Gabriel, as you know, the initial idea when the gold reserve - was in charge was to go for an open pit and that would have cost a lot of money. We have focused on an underground mine and we are looking for CapEx in the order of $500 million to produce in excess of 200,000 ounces of gold and obviously some silver with it. So that is the level of cost of the project CapEx and then the production at this point in time. At Orcopampa, we continue with our exploration efforts, we are looking and finding additional ores and higher grades and with that a lot of optimism in terms of the mine life of the mine. Buenaventura had been always committed to exploration and that is where we are starting to continue doing in Orcopampa. We are confident that we would be able to recreate results this year and hopefully we will find additional ores in some areas adjacent to Orcopampa. In terms of Cerro Verde cash cost, it is performing better than expected and we are talking of cash costs below $1.30 and that is certainly very, very efficient. So we certainly are very excited about the Cerro Verde project.
Operator: Our next question comes from Botir Sharipov with HSBC.
Botir Sharipov: Hi, Roque and the team, congratulations on pretty impressive set of results. I have couple of questions on direct operation and then on the Cerro Verde as well. First one is, your guidance for EBITDA in direct operations for 2016 is $180 million to $220 million, while your Q1 number was $60 million. With the current commodity prices generally higher than in Q1 and CV obviously ramped up now, do you expect to sustain these EBITDA levels considering that Yanacocha gold production is going to decline?
Roque Benavides: In the case of Cerro Verde, EBITDA was [indiscernible] but you have to bear in mind that Cerro Verde’s production has grown between January to March and we believe that our final volumes are increasing the March production, which is where we should mention. In the case Yanacocha, Yanacocha has a new guidance and so according to the new guidance, the cash cost will be north of 200, 300. So let’s see what happen with the new levels of production and prices, that is what we decide with the future of Yanacocha during the year.
Botir Sharipov: And EBITDA, the direct operation, do you expect to maintain this sort of quarterly levels going forward?
Roque Benavides: Absolutely. The objective is get at 200k and 14k ounces of silver. Our direct operations should report in the order of 220, but while bearing in mind the new level of prices, and those prices increase, we could expect much better result for sure.
Botir Sharipov: Okay, great. Thank you. Now, Cerro Verde, obviously impressive production and cost in the Q1. What should we expect beyond 2016 with the concern some - some pundits expressing concern that grades are going to come down at Cerro Verde. What do you expect beyond 2016 for annual production? Do you think the mine can sustain 2016 production levels longer term?
Roque Benavides: By all means, better, but also much better. You have to consider that just beginning the operation in the new facility, the operator had to continue use the recovery and so to figure the best grades and best ore to operation, so no doubt that it will be much better.
Botir Sharipov: Okay, great. And then last on CapEx with Cerro Verde, I believe Freeport in Q4 results of less volatile last year, stated that they expected to spend another $400 million on expansion CapEx in 2016. And obviously Q1 CapEx came way below that. Do you - is expansion CapEx over at Cerro Verde, do we expect more in the second and third quarter in line with what Freeport said at the end of last year?
Roque Benavides: Well, we think Cerro Verde in the first quarter, the CapEx in Cerro Verde was $72 million, $73 million, and this is incurred to actually needed $24 million to complete the expansion project. We believe that this is already completed, so we can expect most of the tranche between $100 million to $150 million CapEx.
Botir Sharipov: Was it $200 million of CapEx for the remainder of the year or is that an annualized number in general?
Roque Benavides: Annualized number.
Botir Sharipov: Okay, thank you very much.
Operator: Our next question comes from John Bridges with JPMorgan.
John Bridges: Hi, good morning everybody. Congratulations again on the results. Following on on the CV story, just wondered when you expected to see dividend starting to flow from there? I know previously you were talking by the end of this year, possibly next year, but given the strong start to operations there, how has that changed?
Roque Benavides: Well, thank you John. The first thing that we are expecting is to get paid the loan that we made as the end of last year that essentially destroyed our balance sheet, but anyway that’s the way it works. And we expect the loan to be repaid to Buenaventura before the end of the year if possible, but we are not going to put any pressure on that repay. And we don’t see that Cerro Verde will pay the executive dividend before the first quarter of next year.
John Bridges: Okay, great. Thank you very much.
Operator: [Operator Instructions] Our next question comes from Ricardo Miranda with LarrainVial.
Ricardo Miranda: Hi, everybody and thanks for taking my questions. First [indiscernible] I would like to know how much of their capacity was due to licensing in this quarter? And what do we expect for the rest of the year? It seems the company is still showing negative margin, operating margin. And the second question is, how much is the contribution from the Huanza hydroelectric plant, which I think you are utilizing to meet your capital needs this year.
Roque Benavides: Regarding El Brocal operation on cost generation, we are positive [indiscernible] but it is improving when compared with last quarter of last year. Hence our projections considering a conservative pricing we expect to generate something in the level of $10 million to be back. We are work on our capital increase in El Brocal to continue the turnaround of the operations on project. And after completing that we believe that could have better results. We expect better prices on [indiscernible].
Ricardo Miranda: Regarding [indiscernible] how much is the contribution for the year?
Roque Benavides: Until we beat that bridge we were not able to get it.
Ricardo Miranda: Okay. Sorry.
Roque Benavides: Regarding what, your last question?
Ricardo Miranda: Regarding, you mentioned that part of this financing that you are taking this year is contributions from the Huanza Hydroelectric Plant and I would like to know how much that we have?
Roque Benavides: Yeah. Huanza generally grows to $25 million to $27 million year-after-year. And they’re only moving and we have in Huanza, we negotiate the reports that Huanza had in short against Buenaventura. So I thought today Huanza certainly has no quarter impact to Buenaventura and we’re going to maintain an important level of leverage. So from then on, we are going to transfer this cash to Buenaventura.
Operator: Our next question comes from Alex Hacking with Citi.
Alex Hacking: Thank you. Good morning and thanks for the conference call and congratulations on all the progress that the company has made. And the first question is on Tambomayo, can you just remind me of what the cost structure there is expected to be? And also just remind me of the silver stream, it’s around 3 million ounces per year at full capacity if I remember correctly? And then the second question is on San Gabriel, would you take any consideration into finding a partner for that project? And then also can you remind me of what residual interest or economics still exist with gold deals if any. Thank you.
Roque Benavides: Thank you for your question. Tambomayo will be in production by the end of the year, producing in the order of 150,000 ounces of gold and close to 3.5 million ounces of silver and the cash costs, we reckon that will be in the order of $600 per ounce. It will be a very profitable mine, and as I say, we expect to be ready by the end of the year. Because of - sorry?
Alex Hacking: Sorry, that cash cost is before the silver byproducts, correct?
Roque Benavides: No, no. It’s including the silver byproducts.
Alex Hacking: Including silver?
Roque Benavides: Cash cost is always calculated with the credit volume.
Alex Hacking: Okay. Clear. Thank you.
Roque Benavides: And this is a - at this point in time, it is maintaining it [indiscernible]. In the case of San Gabriel, gold deals has nothing to do any more. We have of 1%, but that is all.
Alex Hacking: What percent of revenue?
Roque Benavides: 1% of net sales. And we’re looking for a partner at this point in time, we don’t have that idea. We believe that it’s a project that is a type that we can develop by ourselves. As I mentioned, we’re talking of $500 million embedment and to produce in excess of 200,000 ounces of gold. We don’t describe the possibility of looking for a partner at this point in time, we’re not considering that.
Alex Hacking: Very clear. Thank you.
Operator: Our next question comes from Scott MacDonald with the Scotiabank.
Scott MacDonald: Hi, guys. Congrats on the strong quarter there. Just wanted to talk to you a bit about the liquidity, in particular on the loan and then also bit about how much cash you have in the - some of your joint ventures. So just on the loan, what kind of maturity are you looking at for this 275 million loan?
Roque Benavides: The maturity of this loan will be five years and including two years of rates and the cash we have is now roughly, well in the case of Yanacocha, it is [indiscernible] In the case of Cerro Verde, the cash in the order of [indiscernible] Yeah. Well, the cash position as of today is in the order of 26 plus some important amount of receivables. So but we are just in conclusion, our cash position according to new developments.
Scott MacDonald: Okay. So then at El Brocal, I think you mentioned last quarter that you might need to contribute additional capital, is that done now, no more needs to go in?
Roque Benavides: Well, capital inclusion is in progress. We have the shareholders meeting [indiscernible] $26 million capital increase, but we have concluded at the end of this, [indiscernible] total of $70 million capital inclusion.
Scott MacDonald: Okay. And so just in total then, what portion of the balance, so you have I think 180 million on your consolidated balance sheet of cash, how much of that is in El Brocal as of March 31st?
Roque Benavides: As of March, there is very few, 0.5 million. The consolidated cash position is [indiscernible] So the majority is held by Buenaventura.
Scott MacDonald: Okay. All right. Thanks guys.
Operator: [Operator Instructions] And at this time, we have no further questions. So we’ll turn it back to Mr. Benavides for closing cum remarks.
Roque Benavides: Thank you again for attending this conference. We are attending the Merrill Lynch conference in two weeks’ time. We appreciate your time and your interest in the company and just to reassure you that we are working very hard in order to make the company as efficient and as profitable for the benefit of all shareholders. Thank you very much and good morning.
Operator: Ladies and gentlemen that concludes today’s presentation. You may disconnect your phone lines and thank you for joining us this morning.